Operator: Good morning, ladies and gentlemen, and welcome to Institutional Financial Markets’ Second Quarter 2016 Earnings Call. My name is Lori and I’ll be your operator for today. Before we begin, IFMI would like to remind everyone that some of the statements, the Company makes during this call, may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the Company’s actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call and the Company undertakes no obligation to update such statements to reflect subsequent events or circumstances. IFMI advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent Annual Report on Form 10-K filed with the SEC. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of IFMI.
Lester Brafman: Thank you, Lori, and thank you everybody for joining us on our second quarter 2016 earnings call. With me on the call is Joe Pooler, our CFO. Reflecting on the second quarter, we are very pleased with the overall performance of our business. As disciplined execution of our strategic growth initiatives have led to increases in revenue and net income over the prior quarter and the prior year periods. The U.S. Capital Markets business continues to perform well and was able to more than offset the recent temporary nonpayment of subordinated management fees in our European CLO and a mark down of our investment in EuroDekania, which combined resulted in a $1.3 million of negative revenue in the second quarter. Our U.S. Capital Markets group delivered their best net trading revenue quarter in more than three years with revenues balanced across all of our major business lines. We continue to grow our market share with middle market mortgage originators as evidenced by the growth in both our TBA book and our gestational repo business. We feel that there is a tremendous opportunity to expand our footprint with this customer base and adding mortgage originators to our platform will be a major focus of ours for the balance of the year. Looking ahead, we are confident that we have the right plan in place to drive returns for all our shareholders as we focused on adding revenue and growing business where our clients’ needs are no longer addressed by larger financial institutions. Additionally, we are pleased to continue to previously announced share repurchase program in the quarter, which will remain in place through year-end and our board is committed to continue our quarterly dividend piloting our commitment to enhancing value for shareholders. Now, I’ll turn the call over to Joe to walk through this quarter’s financial highlights in more detail.
Joe Pooler: Thank you, Lester. Turning to our statement of operations, our operating income was $2.2 million for the quarter ended June 30 of 2016, compared to $1.3 million for the quarter ended March 31 of 2016, and $500,000 for the quarter ended June 30 of 2015. Net income was $1.2 million, or $0.07 per diluted share, for the current quarter, compared to net income of $300,000, or $0.01 per diluted share, for the quarter ended March 31 and net loss of $500,000, or $0.02 per diluted share, for the prior year quarter. Net trading revenue came in at $11.3 million in the second quarter, up $1.1 million from the first quarter of 2016, and up $4.5 million from the second quarter of 2015. The increase from both prior quarters was primarily due to increased trading revenue from our mortgage and wholesale groups. As Lester mentioned, our U.S. Capital Markets group delivered their best net trading revenue quarter in more than three years and we are particularly pleased with the growth in revenue from our mortgage group’s gestational repo financing program. New issue and advisory revenue was $1 million in the second quarter of 2016, which was up from both the prior quarter and the second quarter of 2015. Our new issue and advisory revenue has been volatile and we expect that trend to continue as we earn revenue from a limited number of engagements, a small change in the number of engagements can result in meaningful fluctuations and the revenue recognized. Second quarter 2016 principle transactions revenue was $56,000, which compared unfavorably to both the prior and year ago quarters. The decrease was primarily the result of a reduction in the fair market value of our investment in EuroDekania, which was partially offset by increased revenue from our investments in CLOs. Our asset management revenue totaled $1.6 million in the second quarter of 2016, which was down compared to both the prior and year ago quarters. The decrease from the prior quarters was primarily due to lower CDO asset management fees as a result of our European CLO temporarily shutting off subordinated management fee payments. Other revenue was $500,000 in the second quarter of 2016 compared to $700,000 in the first quarter and $800,000 in the prior year quarter. Compensation and benefits expense for the second quarter of 2016 was $8.4 million, down $200,000 from the first quarter of 2016, and up $2.2 million from the prior year quarter. Compensation as a percentage of revenue was 58% in the second quarter, compared to 62% in the first quarter and 56% in the prior year quarter. The number of IFMI employees was 80 as of June 30 of 2016, compared to 86 as of March 31 and 101 as of June 30th of prior year. In the quarter, our total non-compensation operating expenses, excluding depreciation and amortization, were $3.7 million, down $200,000 from the prior quarter, and down $500,000 from the prior year quarter. The decrease occurred across all major line items with the exception of revenue driven clearing and execution expenses and revenue driven consulting expenses. We continue to be diligent about managing expenses. In terms of our balance sheet, as of June 30, our total equity was $45.3 million, a decrease of $800,000 from year end. During the second quarter of 2016, we repurchased 68,400 shares of our common stock for $64,000 at an average share price of $0.93 using cash on hand. At the end of the quarter, we had $51.6 million of equity capital invested in our net trading portfolio, and $9.9 million invested in our principal investing portfolio. The other investments have fair value line item represents our principal investing portfolio, and includes our $8 million of investments in CLO positions. At the end of the quarter, consolidated corporate indebtedness was carried at $29 million, and we had $7.7 million of unrestricted cash balances on the balance sheet. We believe that our unrestricted cash balances of $7.7 million, combined with the $51.6 million of net assets from our highly liquid trading portfolio, and the $9.9 million invested in our principal investing portfolio are sufficient to fund our near-term business model. Going forward, we will continue to evaluate our capital allocation strategy to ensure that we’re putting our capital to use most productively. As Lester mentioned, we’ve announced $0.02 dividend for the quarter and will continue to review the dividend policy on a quarterly basis. The dividend is payable on September 1 to stockholders of record on August 18 of 2016. Finally, we expect to file our 10-Q no later than Friday of this week. With that, I will turn it back over to Lester for closing remarks.
Lester Brafman: Thanks, Joe. Please direct any investor questions to Joe Pooler at 215-701-8952. His contact information is at the bottom of our earnings release or via email to investorrelations@ifmi.com. Thank you for joining us today. Operator, you can now end the call.
Operator: Thank you for participating in the Institutional Financial Markets second quarter 2016 earnings conference call. You may now disconnect.
Q - :